Operator: Good day, and thank you for standing by. Welcome to the Harley-Davidson 2021 Second Quarter Investor Analyst Conference Call. [Operator Instructions]. I would now like to hand the conference over to your speaker today, Shannon Burns, Manager Investor Relations. Please go ahead.
Shannon Burns: Good morning, everyone. You can access the slides supporting this call at investor.harley-davidson.com, click the earnings materials box in the center of the page. Our comments will include forward-looking statements that are subject to risks that could cause actual results to be materially different. Those rests include, among others, matters we have noted in our latest earnings release and filings with the SEC. Harley-Davidson disclaims any obligation to update information in this call. Joining me this morning are: CEO, Jochen Zeitz; CFO, Gina Goetter; and Chief Commercial Officer, Edel O'Sullivan, will also be joining for Q&A. Jochen, let's get started.
Jochen Zeitz: Thank you, Shannon, and good morning. As always, I would like to welcome our shareholders, the financial community, dealers, employees and all our valued stakeholders and even our competition who are joining us today. We delivered a solid performance in the second quarter and first half of this year. I'm pleased with the pace of improvements we've seen with today's numbers reflecting the execution of our Hardwire strategy, as demonstrated by the positive financial results, despite significant supply chain challenges. As a company, we continue to manage through the impact of COVID-19 with the extraordinary efforts of our global team, keeping employee safety and community well-being a priority. The supply chain and logistics challenges linked to the pandemic, faced by our industry and many others continue to impact the sector with our teams managing the effects of disruption to ensure that we are able to continue building and delivering iconic Harley-Davidson products to the world. We are seeing the initial proof points of our Hardwire execution and the positive impact of this strategy on our results, particularly in the strategically important North America region. While the pandemic and related supply chain complications continue to impact our international business with certain regions at different stages of post-pandemic recovery, we can see that consumer excitement and optimism is returning. And we are encouraged by the signs of positivity in the market. I also want to note our continued fight against the proposed EU tariffs that we discussed at the last quarter. We continue to pursue all remedies to the additional EU tariffs. We believe these tariffs relate to a trade dispute not of our making, and that is unfair for our business to be targeted as part of this dispute. The initial outcomes of the trade talks at the G7 meeting are encouraging, and we remain hopeful for resolution. I will talk more about our delivery against the Hardwire later in today's presentation. But first, I'll let Gina provide more details on the financial performance of the quarter and first half of the year. Gina?
Gina Goetter: Thank you, Jochen. Second quarter results reflected continued strong demand and improved operating margins as we manage through a volatile supply chain environment. Total revenue of $1.5 billion was 77% ahead of last year, as we lap the impacts of the COVID shutdown. Given the 2020 dynamic to help contextualize this year's performance, we've included comparisons back to 2019 for this quarter. Revenue was down 6% versus 2019, primarily driven by actions taken as part of the Rewire to prune unprofitable motorcycles, as well as exit unprofitable markets. Total operating income of $280 million was significantly ahead of 2020 and 9% ahead of 2019 with growth across both of our reported segments. The Motorcycles and Related Products segment delivered $186 million of operating income, which is $307 million better than 2020 and 3% better than 2019. Even though the quarter had 12,000 fewer units in 2019, we benefited from improved motorcycle unit mix, significantly lower sales incentives as we focused on building desirability and a reduced cost structure behind our Rewire actions. The Financial Services segment delivered $95 million of operating income, $90 million better than 2020 and 25% ahead of 2019. Second quarter GAAP earnings per share of $1.33 was $1.93 ahead of Q2 2020. When adjusting to exclude the impacts of EU tariffs and restructuring charges, our adjusted EPS was $1.41, up $1.79 over prior year. Turning to year-to-date results. Total revenue of $3 billion was 37% ahead of 2020 and 2% behind year-to-date 2019. Again, the decline versus 2019 was primarily driven by the actions taken as part of Rewire to prune the portfolio and partially offset by increased volume, driven by the shift in model year launch timing and improved unit mix. Total operating income of $627 million was $635 million ahead of 2020 and 48% ahead of 2019. The strong growth versus 2019 was driven by The Rewire actions noted as part of our Q2 performance, including favorable mix, lower sales incentives and reduced operating expense. The shift in timing of the model year launch had a positive impact as well. GAAP year-to-date earnings per share was $3.01, up $3.16 from a year ago, while adjusted year-to-date earnings per share was $3.11, up $2.98 from last year. Global retail sales of new motorcycles were up 24% in the quarter behind strong demand for core touring and large cruiser products in the U.S., as well as the successful launch of our Pan American motorcycle into the adventure touring space. North America Q2 retail sales were up 43% versus 2020 and up about 5% over Q2 2019. Growth over 2019 was driven primarily by improved sales in our core segments, touring and large cruisers. In our international markets, COVID continue to have an impact, with many key countries in various states of lockdown and reopening throughout the quarter. We also experienced a continuation of the logistics challenges noted in Q1, which resulted in longer ship times to key ports. EMEA sales recovered after much larger declines in Q1, as sales of Touring and Cruisers rebounded. This improvement was offset by our decision to not sell Street and legacy Sportster bikes. The TAM declines were driven primarily by Rewire actions to close certain dealers, exit countries and take pricing actions across select models. We believe these actions are working to restore profitability across the market, in spite of the retail unit declines. In Asia Pacific, in particular in India and Australia, Q2 retail sales were negatively impacted by the discontinuation of Street motorcycles. The region was also disproportionately impacted by global transportation headwinds. Worldwide retail inventory of new motorcycles at our dealers was down over last year and down versus the previous quarter. Inventory levels were lower than originally planned, driven by stronger than anticipated demand, coupled with longer shipping times in our international markets. While we originally had planned for Q2 inventory levels to build coming out of Q1, we have seen that these lower levels have helped to foster increase desirability as evidenced by strong, new and used motorcycle retail prices in the US and continued improvement in dealer profitability in the quarter. International markets have seen a much larger impact from the global transportation challenges, and it's likely some markets have seen retail sales impacted. Looking at revenue. Total Motorcycle segment revenue was up 99% in Q2, and up 45% on a year-to-date basis, focusing on current quarter activity, 81 points of growth came from higher year-over-year volume on Motorcycle units and parts and accessories as we lap last year's pandemic impact and work to meet the strong current year demand for our motorcycles, which includes the new Pan American, 13 points of growth for mix, driven by a larger percentage of touring bikes in the quarter, along with favorable regional mix behind strong U.S. shipments. Five points of growth from foreign exchange, and finally, one point of growth from pricing and incentives as we eliminated a majority of corporate discounts and incentives as part of The Hardwire strategy. Absolute Q2 gross margin of 30.6% and was up 14.5 points versus prior year, driven by stronger volume and favorable unit mix. Higher logistics and raw material inflation and incremental EU tariffs were more than offset by volume leverage and other savings across our supply chain. Q2 operating margin finished at 14% and was up significantly versus prior year due to the drivers already noted. The gross margin gain was partially offset by higher operating expense, as we lap the cost savings initiatives undertaken last year to preserve cash at the onset of the pandemic. The supply chain remains very fragile not only for our business, but for every global manufacturer. Our team has continued to do a great job managing through the unprecedented challenges. And to date, we've had no sustained downtime in our factories. We have continued to see inflation across all modes of freight as well as within raw materials, and we are forecasting this to continue throughout the fiscal year to help offset we implemented an average 2% pricing surcharge on select models in the U S effective July 1st for the remainder of model year 2021. The Financial Services segment operating income in Q2 was $95 million, up $90 million compared to last year. Net interest income was favorable for the quarter, driven by lower average outstanding debt and cost of funds as compared to the second quarter of last year. The total provision for credit losses decreased $75 million year-over-year, primarily due to the reserve rate changes of $63 million as we lapped last year's increase, which was largely driven by the economic impacts of the pandemic. In addition, actual credit losses were $12 million lower. The favorability in credit losses was due in part to benefits provided to individuals under the recent federal stimulus packages. Additionally, motorcycle values at auction remain elevated, as the supply of used motorcycles was limited and demand remains strong. Looking at HDFS' base business. New retail originations in Q2 were up 29% versus last year behind higher new motorcycle sales and strong used motorcycle origination volume. At the end of Q2, HDFS had approximately $820 million in cash and cash equivalents on hand and approximately $1.3 billion in availability under its committed credit and conduit facilities for total available liquidity of $2.1 billion. Cash and cash equivalents remain elevated, but were down approximately $900 million from Q1, as we continue to pull cash back down to normalized levels. HDFS' retail 30-day plus delinquency rate was 2.21%, up 46 basis points compared to the second quarter of last year, which is a high point in issuance of pandemic-related extensions. The delinquency rate continues to be favorable when compared to recent history. The retail credit loss ratio remained historically low at 0.84%, a 103 basis point improvement over last year. While we do expect the delinquency rate to normalize over time, given the influx of stimulus funding and the improved economic conditions, we believe its likely losses will continue to remain low through the remainder of the year. Wrapping up with Harley-Davidson, Inc. financial results. We delivered year-to-date operating cash flow of $644 million, up $34 million over prior year. The key driver of improved cash flow with higher net income, partially offset by an increase in wholesale finance receivable originations. Cash and cash equivalents ended the quarter at $1.7 billion, which is $2.1 billion lower than Q2 last year as we work down the higher cash balances that we held as a result of the pandemic. As we look to the balance of the year, we are maintaining our guidance on the motorcycle segment revenue growth of 30% to 35%. For the Motorcycle segment operating income margin, during the second quarter, the European Union made a decision to implement a six-month stay on raising the incremental tariffs from 31% to 56%, while negotiations occur between the US and the EU. The step up in tariffs was originally planned for June 1, and it will now be in effect in December if a resolution does not take place prior to them. Last quarter, we provided two margin guidance ranges due to the uncertainty and how the tariff situation would evolve. We had stated our official guidance to be 7% to 9%, which assumed complete mitigation of the incremental tariffs. With the full impact of the incremental tariffs, our guidance was 5% to 7%. Given the developments throughout the quarter, our tariff exposure in 2021 is more certain, but less than what we originally communicated. Based on what we know today, our estimated tariff impact for this year is approximately $80 million versus the initial estimate of $135 million. This improvement would result in our estimated GAAP operating income margin moving from 5% to 7% to a revised guidance of 6% to 8%. If we are successful in materially mitigating the incremental EU tariffs for the remainder of 2021 and get back to the planned tariff rate of 6%, our operating margin range would remain 7% to 9%. We are increasing the Financial Services segment operating income growth guidance to 75% to 85%, which is an increase from the previously communicated range of 50% to 60%. The improved outlook takes into account the loss favorability we have seen year-to-date as well as the outlook for the rest of the year. Lastly, capital expenditures remained flat to our original guidance of $190 million to $220 million. Slide 14 provides additional context in how our seasonality and strategy shift impact the back half of the year. This chart is largely unchanged from the previous quarter, with the one exception and that it now includes the impact of the EU tariffs. Assuming the $80 million tariff impact, we expect the back half operating margin percent to be negative mid-single-digits. This back half guidance incorporates the impact of the shift in model year launch timing, logistics and raw material inflation rates in line with what we've seen throughout Q2, the approximately 2% pricing surcharge, and a step-up in operating expense as we invest into The Hardwire, and prepare for the launch of model year 2022. I'll turn it back to Jochen, who will take us through our progress executing against our Hardwire strategic plan.
Jochen Zeitz: Thank you, Gina. As The Hardwire strategic plan is implemented, we continue to enhance organizational speed, alignment, and efficiency, which we believe has set us up to win. The changes implemented through Rewire in 2020 and the international Hardwire-related outcomes underscore the significant transformation of Harley-Davidson over the course of the past year. We continue to be guided by H-D#1 as a high-performing winning organization based on our 10 defined leadership principles, built on the powerful vision and mission of Harley-Davidson. Across our company, we continue to see the desire and growing capabilities of our team to win. We know our future successes will only come from an effort by everybody on our team. So, as ever, thank you, team Harley-Davidson. I know many of you are listening in today. Talking about winning, I'm excited that this month, our Harley-Davidson Screaming Eagle team rider, Kyle Wyman, on the inaugural Motor America King of the Bakers Championship Series aboard is Harley-Davidson Road Glide Special. Everyone at Harley-Davidson is immensely proud of our racing team and for the tireless commitment to securing this championship. Kyle's incredible dedication and focus on winning was matched by the passion and energy of the team of Harley-Davidson engineers who develop these Baker race bikes, constantly working to improve the performance of these remarkable motorcycles. This team and their success truly exemplifies the spirit of H-D#1. Not to mention, Kyle won this race despite having this arm in the cast following an injury in surgery only a couple of weeks before the final race, a true Harley-Davidson hero. This win is a strong statement for our ability to lead and innovate in our core Grand American Touring segment. As I've said since we started this journey, The Hardwire strategic plan and success is underpinned by desirability and our ambition to enhance and grow our position as the most desirable motorcycle brand in the world. Desirability is our DNA, it's embedded in our vision, it's at the heart of our mission, and it's part of our 118-year legacy. Harley-Davidson's desirability preserves the value of our customers' purchases, builds our brand beyond our riders, insurers loyalty, and drives engagement. By designing engineering and advancing the most desirable motorcycles in the world reflected in quality, innovation, and craftsmanship, we are building our legacy. In building a lifestyle brand, valued for the emotion reflected in every product and experience for riders and non-riders alike, desirability will continue to provide the framework for our Hardwire strategic plan and the framework for our success measures. I'd now like to address a few specific highlights delivered against some of The Hardwire strategic priorities. It's been a busy few months at Harley-Davidson. Aligned to our desirability and core product and category focus in Touring and Cruises, we continue to see an increase in consumer appetite and demand for our brand, our iconic motorcycles and our other products. The pandemic has provided a reminder of the power of getting outside, reconnecting with the Harley-Davidson community and the unique freedom and adventure that our brand represents. We continue to experience significant demand for our products and our brand with solid demand for our most profitable segments. This improved product mix is resulting in stronger year-over-year motorcycle segment margins and can be attributed directly to our desirability in particular, the US and Canada. And while we've continued to see demand in Europe and Asia, these regions are also being affected by both the enduring impacts of the pandemic and the wider global logistics challenges. In line with, The Hardwire and our streamlined market strategy, we continue to maintain a long-term focus on profitability and we are pleased with the initial outcomes as we continue to execute against the strategy. Aligned with our focus on our core segments, in April, we launched our Icons collection, produced only once, these extraordinary adaptations of production motorcycles look to our story past and bright future. We've seen a fantastic customer response in the -- to the first model, the electrolyte revival with these limited serialized models selling out immediately. The focus on selective expansion allows us to target segments that deliver a balanced combination of volume, margin and potential and that are aligned with our brand capabilities and identity. We are in these segments to win, supported by the right allocation of time and energy, balanced with the right investments in product, brand and go-to-market capabilities. As highlighted at the last quarter, we've seen an exceptional response to our first Adventure Touring bike based on the RevMAX platform for Pan America, following its very successful launch earlier this year. Dealers and writers have been taking delivery of Pan America motorcycles as part of the sell-out preorder allocation since May, and the response from riders on and off the road has been overwhelmingly positive, reinforcing our strategic launch within the adventure touring market. We believe the opportunity within the Adventure Touring segment is significant, not just in Europe, the largest adventure touring market in the world, but in North America, where the market remains a great opportunity and we are now using our power to grow it. We believe that with Pan America, we are well placed to take market share in Europe and to become the number one model in the segment in North America. With Pan America, we've seen outstanding sell-through with the initial runs selling out globally. Looking ahead, we see great potential to build on the success of Pan America and to target new riders in the Adventure Touring space. By targeting new audiences, we will continue to look to further unlock a whole new dimension of customer an opportunity for the company as we continue to grow our global market share in the Adventure Touring segment. The success of Pan America reflects our focus and is an integral part of our Hardwire strategy of selective expansion. We saw the potential build on our off-road heritage and to compete and win in what we believe is the high growth and attractive margin segment of Adventure Touring. Aligned to Hardwire, we will continue to strategically pick and compete in categories where we see high potential and where we have a clear path to winning. On July 13, we launched the Sportster S at our global reveal event from Evolution to Revolution. Sportster S is not only one of the longest continuously produced motorcycles in history, but also one of the most iconic. The Sportster S is the latest all new motorcycle built on the Revolution Max platform, setting a new performance standard for the Sportster line. The launch of this next-generation Sportster defined by power, performance, technology and style reinforces our commitment to introduce motorcycles that align with our strategy to increase desirability and to drive the vision and legacy of Harley-Davidson. The Sportster S is equipped with a host of technologies, designed to enhance the riding experience, including three preprogram ride modes, which electronically control the performance characteristics of the motorcycle and the level of technology intervention. The global reveal event generated over 127 million PR impressions, with overwhelmingly positive sentiment with many publications heralding the return of the iconic Sportster. We also saw one of the highest social engagement rates in our H-D social channels. It is clear that riders around the world are excited for Sportster S. As we approach a week since launch, we have seen exceptionally strong customer engagement for Sportster S, with the highest leads generated for a new model in recent years. We're excited about the potential of this bike and look forward to seeing it hit the streets this fall. As we continue to increase our customer focus, we are also driving an updated product segmentation that better reflects our customers' needs and preferences and our unrivaled combination of product, heritage and innovation. Sportster S will be the first motorcycle in the all new sport category. This category showcases how Harley-Davidson’s innovating and redefining core motorcycle segments with unmatched Harley-Davidson technology, performance and style. The Touring category has been renamed Grand American Touring, denoting our legacy and stronghold position in a key market segment. Adventure Touring will represent our entry into a critical global segment where we're competing to win. Each of these segments, along with other existing segments such as Cruisers, will build their own personalities and products, further enhancing the customer appeal and relevance. As part of The Hardwire strategy, we also made a commitment that Harley-Davidson will lead in electric. And while we are clear that combustion remains the core of our Harley-Davidson business for the foreseeable future, we believe there is great potential for long-term growth in electric vehicles. Earlier this year, we announced our intentions to launch a dedicated EV division to allow the strategic focus to deliver desirable growth in this high-growth segment. We recognized the pioneering spirit and brand value in LiveWire for our community and took the decision to evolve the original LiveWire motorcycle into a dedicated EV brand. On July 8, we presented the evolution of LiveWire as a stand-alone brand and the introduction of LiveWire One, the electric motorcycle built for the urban experience with the power and range to take you beyond. With the MSRP at launch in the U.S. for $21,999 pre any applicable tax credit, we believe LiveWire One will redefine the segment through innovative engineering and digital capabilities and bring a whole new generation of riders and non-riders into our company's fold. Innovating to win is core to our focus and as the first OEM with a hybrid omnichannel model, LiveWire combines the best in digital and physical retail, allowing the customer to interact with the brand on their own terms. By launching online at livewire.com and a 12 LiveWire brand dealers in California, New York and Texas, we placed geographic focus on EV customers and relevant charging infrastructure. As this develops, we plan to increase the physical LiveWire footprint across the U.S. and the whole of North America. We also plan to open our first LiveWire experience gallery, designed to facilitate a fully immersive brand experience in fall winter of this year in Malibu, California. Our focus on the digital experience is aligned to the EV customer. Livewire.com, the new dedicated LiveWire app and a new interactive bike builder present a heightened ownership experience for the customer, including a digital path to purchase the first for the LiveWire brand. We've had a tremendous launch response to the new brand and building on the US launch, we intend to take LiveWire to international markets in 2022. By investing in electric technology, it remains our intent to be at the forefront of innovation and development as we look to lead the EV segment. We've always been about more than a machine, and we believe our complementary businesses are huge opportunities for long-term global growth of the Harley-Davidson brand. Parts & Accessories and General Merchandise form part of the Harley-Davidson lifestyle. And together with HDFS play a valuable role in our overall vision and mission and inspiring existing and new customers to discover the adventure that is uniquely Harley-Davidson. We believe there is great potential to grow our customer base, both with riders and non-riders and to add to customer lifetime value, shaping our future success as a global lifestyle brand. Customization is a key part of our heritage. And this quarter in Parts & Accessories, we have seen a strong performance despite substantial supply chain challenges. We continue to develop and evolve our product offering as we work towards enhancing our leadership position as a definitive destination for authentic Parts & Accessories for our riders of both new and used Harley-Davidson’s For many non-riders, General Merchandise is the entry point to the brand. We will be talking more about our H-D lifestyle in the fall, but we're excited by the long-term potential to leverage our brand value to invest in our on and offline retail channels and grow our General Merchandise business globally. For both, Parts & Accessories and General Merchandise aligned to our hardware ambition, we continue to evaluate opportunities to redesign our supply chain and go-to-market capabilities to drive further efficiency and growth. We also expect brand collaborations to be integral to our General Merchandise strategy and allow us to leverage the unique and powerful brand that is Harley-Davidson. Last week, we launched our first product calibration of the year with Jason Momoa and the Harley-Davidson Museum as a limited production, American made collection of 16 vintage inspired men's apparel and accessory styles sold exclusively in harley-davidson.com, and in our museum store. Jason's genuine passion for the brand reinforces how collaborations, such as this one, aligned with our Hardwire strategy to expand our complementary businesses with engaging products, services and experiences. The response from our community to this collection has been terrific, and we expect full sell-through of the collection in the coming days. Last but not least, building on the successful launch of H-D certified last quarter, the first certified pre-owned Harley-Davidson motorcycle program ever. We are excited to launch H-D1 marketplace today on harley-davidson.com, the ultimate online destination for used Harley-Davidson motorcycles in North America. By blending the best of a digital and in-dealership experience, H-D1 marketplace is designed to facilitate a confident and seamless purchase journey for used Harley-Davidson motorcycles. For the first time in our history, H-D1 marketplace will allow all Harley-Davidson pre-owned motorcycles, including H-D certified bikes of every participating Harley-Davidson dealer to be online in one place, making it easier for customers to find that unique pre-owned motorcycle that they've been searching for. All, I repeat, all qualified dealers have signed up to participate. With financing provided by HDFS, our goal is for H-D1 Marketplace to be the number one destination for anyone looking to buy a used Harley-Davidson. Additionally, customers will have the opportunity to sell their Harley-Davidson directly to the H-D dealer network through the sell-my-bike feature. We believe the HD-1 marketplace will drive connectivity and engagement with our Harley-Davidson customers and dealers, acknowledging the important part that riders of pre-owned Harley-Davidsons play in our community. The launch of H-D1 Marketplace is also the first step in transforming h-d.com into the home of all things, Harley-Davidson from enhanced omni-channel purchase experiences to unique community engagement to exclusive content and learning on a global scale as we look to innovate online to lead the industry. Before we head to questions, I'd like to summarize some of the highlights since we launched our new hardware strategy. Following the new 21 motorcycles introduction, we successfully launched Pan America, our first Adventure Touring bike. We introduced H-D certified, our first ever pre-owned program. We launched our Icons collection with electrolyte revival selling out instantly. We created a new EV division stood up LiveWire as an independent EV brand with LiveWire One as its first product. We launched Sportster S, the evolution of the iconic Sportster as part of a reclassification of our overall market segmentation. And today, we introduced H-D number one Marketplace, the ultimate digital destination for pre-owned Harley-Davidson motorcycles in North America. We delivered strong Q2 and first half financial performance despite the unprecedented pandemic-related supply and logistics challenges in the sector. We expect these challenges to continue and recognize the potential associated risks to our business for the remainder of the year. Harley-Davidson is a brand with global recognition in the field with 118 years of uninterrupted heritage, craftsmanship and unrivaled iconic design, we are truly unique. We believe there is tremendous potential for our brand and business globally and we will not rest until we are the best-in-class in every market we compete in. Thank you for your time this morning. And now, let's take your questions.
Operator: [Operator Instructions] And your first question comes from the line of Jamie Katz with Morningstar. Your line is open. You may ask your question.
Jamie Katz: Hi, good morning. Nice quarter. Thanks for taking my question. I'm hoping that you guys can elaborate a little bit more on specific supply chain issues and maybe how you see those playing out over the remainder of the year since that's something that we're seeing across a number of industries? And how you feel you have positions yourself defensively to maybe mitigate some of those expenses? Thanks.
Jochen Zeitz: Thank you, Jamie. As I mentioned, the supply chain challenges are manifold. They are not just one issue, they pop up and they go away. But the team has done a really extraordinary job to mitigate any significant outages so far. But it's not something that you can predict will continue. At this point, we are managing this situation on a daily basis. The impact obviously include shipping delays, both inbound and outbound freight because of lengthened shipping lead-times, which, as you've seen, have also affected our sales, especially in the European and Asian regions. We see congested ports, shipping container shortages, volatility in schedules and receiving. And obviously, the highly publicized semiconductor chip shortages. So, all of those are challenges that affect us and affect our suppliers. But so far, so good. We have not seen any significant blackouts in our factories. We had to sometimes move models around because we had shortages on a particular bike, what we call brownouts through material availability that got impacted short-term. But overall, we've been really able to stay all stop situations or blackouts at this point. I highlighted this as a risk because it is a risk that will continue. We hope we can mitigate those risks as we have done successfully in the first half. But obviously, we can't give any guarantees at this point. We feel good about what's coming, but recognize that shortages, they solve themselves very often in the last minute. You always have going into the next quarter shortages whether it's semiconductors or other supply that present a big potential risk. And then we managed to close the risk, thanks to the support of our suppliers and the great work that the team is doing. I hope that answers your question.
Jaime Katz: Yes. And then can you maybe just frame how you expect shipments for Adventure Touring to pan out over the rest of the year? I don't know if there was maybe some pull forward at the initial launch and then that levels out over time or if the cadence of shipments maybe remains around this level going forward?
Jochen Zeitz: Well, the majority of the bikes we have shipped now in the second quarter, and I'm pleased to say that we've actually achieved a goal that we've set for ourselves long-term by being the number one selling Adventure Touring model in the US in the month of May and June already, which is an extraordinary result. We've grown the segment, and we've become number one in a short period of time. We will try and ship as many models as we can, but the majority of the shipments have already happened in the second quarter. And then bear in mind that in the fourth quarter is the quarter when we will now switch over to the new model year, so that enhance our guidance for the fourth quarter and for the second half.
Jaime Katz: Thank you. That’s very helpful.
Operator: And your next question comes from James Hardiman with Wedbush. Your line is open.
James Hardiman: Hey good morning. Thanks for taking my call and congrats on your bucks whoever over there are fans. Obviously, a big win for the city. So, what's likely a surprise to nobody, I wanted to ask about inventories. I think the expectation was to build inventories in the second quarter and that, that was going to be the peak for the year and then you draw down seasonally during the back half of the year. Obviously, the reverse was the case, and we're basically sitting at that 13,000 domestic unit level that -- where we started the year. So, I guess the question is, does that sort of push inventories out or replenishment out into the second half, or are you comfortable with that 13,000 unit number? And I mean, I guess the implication would be that you would finish at even less than that if we continue to see that seasonal drawdown during the back half.
Jochen Zeitz: Thanks, James, and thank you very much for your comments about the bucks. Obviously, as a Milwaukee headquartered company with 118 years of history, we are very excited. And I want to also congratulate as a company to the bucks for this phenomenal victories last night. As you can imagine, it's been a big celebration all over Milwaukee. So thank you, buck, for making us -- you made us truly proud. In terms of your inventory question, as you rightly state, the inventory levels are lower than we had originally planned due to stronger retail demand. And we expect that to continue throughout the year and normalized inventory levels, we will be planning for in '22. It's unlikely that we are able to achieve the inventory levels that we are originally planning for the year already this year or in the second half. That said, while the ideal inventory levels from our planning we would have wanted to see higher. We believe that the lower inventory levels have helped on the other hand, also to increase the desirability of our motorcycles and our customers are actually waiting for deliveries or choosing to purchase bite at a later stage when the inventory comes in. So it's hard to say if that had an impact on sales. But overall, I think our dealers and our customers being willing to wait, we were able to mitigate the lower inventory levels. That said, we would have liked them to be higher, but due to the situation that is particularly supply chain related that was impossible, and we don't anticipate that happening in the second half either because we're going to sell what we make essentially.
James Hardiman: Got it. That's really helpful. And maybe just a real quick clarification. Gina, the slide that talked about the second half margin expectation. The difference between Q1 and Q2 is just that Q2 was a GAAP number and includes the EU tariffs or are there any other differences there?
Gina Goetter: No, that's right. When we put this slide in front of you last quarter, the EU tariffs weren't certain or we were still kind of holding that out of it. It could, it could not happen. Now that we have more certainty, this represents our GAAP guidance. That's right.
James Hardiman: Got it. And so flat excluding the tariff piece, flattish?
Gina Goetter: Flattish.
James Hardiman: Got it, okay. Thanks guys.
Operator: And your next question comes from Greg Badishkanian with Wolfe Research. The line is open.
Fred Wightman: Hey guys. Good morning. It's actually Fred Wightman on for Greg. I'm wondering if you could just talk about pricing. It's still a relatively modest benefit in the quarter. I know you talked about that 2% pricing that took hold earlier this month. But can you talk about how you got to that 2% number, if there's any pushback from dealers or customers so far and just how you see pricing as a lever going forward?
Jochen Zeitz: We have not seen any pushback. Obviously, it's early days, but overall, I think the market understands and the dealers and customers understand that we needed to pass on some of the price increases and the price pressures we are seeing in the market. So we've not made a decision as to '22 model year yet and what impact that might have on pricing, but we feel that the 2% increase is a good is a good step forward, bearing in mind that we've also continued to streamline our model SKU count, and we're able to take out some less profitable bikes in the process, which overall would take the average retail price up for the company as well. So that sort of happened in the background. So two measures that we took for the second half, further streamlining of our product line and 2%.
Fred Wightman: Great. And then just quickly on Pan America. Anything you can share as far as data you have domestically for incremental customers or new customer entering that category versus share gains? And then, how is that informing your thoughts about the international opportunity?
Jochen Zeitz: Yes, we don't have detailed customer data available yet. But based on what I've heard, we -- you could certainly say that Pan America has brought new customers into the fold in addition to getting existing Harley customers to buy a new motorcycle from Harley-Davidson. So it's certainly attracted new customers. The reviews have been phenomenal in the Adventure Touring world, which is, I'm very excited about and that definitely attracted a new customer group that we didn't have, because it is a new segment for us. But, I'd say, overall, it's been very balanced new customers coming into the brand to buy Adventure Touring bike and existing customers being excited about it as well. And that holds true for the U.S. and international, in particular.
Fred Wightman: Okay. Thank you.
Operator: And your next question comes from Gerrick Johnson with BMO Capital Markets. Your line is open.
Gerrick Johnson: Great. Thank you. I'll try to keep this one long question. It's about LiveWire and rebranding and how that's going to work. Who will you distribute LiveWire to? Will it be Harley-Davidson dealers, exclusive dealers for LiveWire or powersports dealers? And what about signage and fixturing at those dealerships if they have to be Harley dealerships since this is a separate brand? And then, my last part of it, what happens to those dealers who last year invested -- who are not getting LiveWire now, who invested in charging stations, lifts, all that sort of stuff? Thank you.
Jochen Zeitz: Thanks, Garry. Well, we actually compensated our dealers for their structural investments, such as charging stations in the fourth quarter of last year already. So all the dealers that, whether they have LiveWire or not going forward, have been compensated for the investments that took place in the fourth quarter of last year. In terms of distribution, we have 12 dealerships in three states that are currently selling LiveWire. They will all get special signage and fixturing in the near future, if they haven't received it already. So we want to make sure that the stand-alone brand is also presented as a stand-alone brand, but it is -- these are all qualified Harley-Davidson dealers that are now qualifying to become or have qualified to become LiveWire dealers as well. So LiveWire is a new line make of Harley-Davidson in the company. We will be rolling out our distribution to additional dealers throughout the country over the next 12 months. So you can expect that those who qualify for LiveWire will represent the brand, the new brand in the U.S. and the rollout, as I mentioned earlier, will then happen internationally in 2022. But overall, it's our dealers, our trusted dealers, Harley dealers that qualify based on the specifics of the LiveWire brand to go after that more urban-oriented consumer to represent LiveWire as a second brand.
Gerrick Johnson: Okay. Can I just ask about a qualification? How do you qualify? Do you have to be an urban dealer? Do you have to be a large dealer? What's the qualification status?
Jochen Zeitz: Well, there's several -- many criteria that you have to fulfill. But first of all, you have to have a passion for electric. So if you're a dealer that believes in the future of electric and LiveWire the brand, then we are -- that's the starting point for our discussion and we welcome any dealer that is interested in representing LiveWire. And then you have a whole list of things. Obviously, we are taking an omni-channel approach. It's a different type -- different way of selling the bike. It's targeting a different consumer. So as a dealer, you have to make sure that you're able to reach a new consumer group that might not be the traditional core of the Harley-Davidson consumer or brand. And so it's a long list of qualification criteria that are necessary to make sure that the dealer becomes successful with LiveWire.
Gerrick Johnson: Okay. Fair enough. Thank you very much, Jochen.
Operator: And your next question comes from Craig Kennison with Baird. Your line is open.
Craig Kennison: Hey, good morning. Thanks for taking my questions as well, they relate to H-D1 marketplace, which launched today. Mostly, I just want to understand that model better. What is the economic model for Harley-Davidson, for example, will you earn any listing or transaction fees? And who are your competitors in that marketplace? And how would you frame the TAM, if you can?
Jochen Zeitz: Well, the -- as I mentioned last year, early on, I said we need to really get our hands around the used Harley-Davidson bike market, and we've never really had much visibility. It's always been a significant business for our dealers, but the motor company never really had a good understanding on the used bike market. It's a significant market. Those are all very valued Harley customers, and it was important for us to get our hands around that market. That's the first step that is really important. We are offering that listing service for free because we believe scale is critical and it's a service for our dealers at this point. And we are very pleased that we will be starting H-D1 marketplace with over 18,000 bikes as of today, which is quite extraordinary, considering that this is a new initiative. All our Harley-Davidson dealers have signed up. And I think that goes to show the power of this new marketplace and the excitement that we are building throughout the dealer network. And I also think for our consumers. So it will give us valuable insights and leads, lead generation is critical. We, of course, want to sell used bikes for our dealers. They are selling them, but they are listing them on our site, but that's an opportunity to then expand H-D marketplace and also make sure that our businesses like General Merchandise and Parts & Accessories prosper in the long run as well. And as I mentioned, we will start with the entire selection of pre-owned Harley-Davidson. And the goal is really to make h-d.com, the go-to site for anything Harley-Davidson. And so this is the first big step in digital push from Harley that is absolutely necessary to get our hands around new customers and existing customers and bring them into the fold or keep them within the ecosystem of Harley-Davidson.
Craig Kennison: Thanks. And in terms of how you monetize other transaction fee opportunities or HDFS opportunities through that ecosystem?
Jochen Zeitz: Yeah. Definitely, HDFS plays an important role. When you go online, you will see that HDFS is obviously the preferred tool for financing that bike. Certified is the second opportunity that is great for our dealers and also good for the motor company. So those are immediate opportunities from a financial point of view, and there will be certainly more in the future. But right now, scale is critical. Digital is all about scale. You talked about or asked about competitors. I mean there's a cycle trader, there's a ramp on. But we will – our goal is very clear. We want to be the number one, and we will be number one very quickly in terms of the extent of used bikes that will be available online. And certainly, nobody can match our dealer network and having the dealer network supporting this initiative is a big win for us.
Operator: And your next question comes from Shawn Collins with Citigroup. Your line is open.
Shawn Collins: Yes. Great. Thank you. Good morning, Jochen, Gina and team. My question is on the current input cost pressures that you're seeing. Just wanted to ask if you could kind of talk in terms of where you're seeing the most increased costs, whether it's steel, aluminum or resin products? And maybe from a quantitative standpoint, does this – did your recent 2% price increase? Is that fully or partially mitigate some of these pressures? Any context might be helpful. Thanks.
Gina Goetter: Sure. Where we're seeing it is primarily in the aluminum, in steel markets. Lumber is actually up settling down a little bit, but lumber within the quarter was up as well. And we are continuing that forecast as we look out to the back half of the year, we see elevated rates through the back half. So the 2% surcharge will not completely offset what we're seeing come at us, but it will do a good part in offsetting much of that. In terms of impact within the quarter and as you think about the margin change, the raw material increase was worth about two points of margin. So it was fairly material. And then you add on top of that all the logistics rate inflation that we're seeing, that was roughly another three points of margin. So those headwinds that are coming at us, roughly five points of margin within the quarter.
Operator: And your next question comes from Robby Ohmes with Bank of America. Your line is open.
Robby Ohmes: Hey, thanks for taking my question. Actually, I had – just wanted to clarify a few things. I think, first, just on the way the shipments have played out, do you guys expect the third quarter to be constrained similarly, or is there any kind of catch-up with all those pre-orders and maybe related to that, any color you can give us on how you view how the competition is handling the shortages? And is that – are you benefiting from that? And kind of how do you think things will play out as these supply chain challenges, hopefully get resolved as we move through the rest of the year?
Jochen Zeitz: In terms of shipments, I mean, the guidance that we've given pretty much reflects what we expect in terms of when our product land in the market. So we've seen some delays in the first quarter going into the second quarter, and we've seen delays in the second quarter going into the third quarter. So – we – in particular, in the European region, we expect to catch up in the third quarter. Obviously, we also don't want to come too late in the year, considering writing season especially in Europe, will come to an end in October. That bearing that in mind, predicting shipments is not an easy thing because quite often now ships are stopping where they're not supposed to stop and what usually was a 30, 40-day time line doubles and sometimes just ships just take additional two stops and then the product that you expect to hit in a quarter doesn't hit because of these additional delays that the shippers are essentially not allowing us to deliver the product in time due to the ships arriving later than originally scheduled. And that has also been a problem that we've been facing with. So, it's a lot of flexibility required to really get -- to plan because the plan doesn't always materialize, especially when you need to hit a quarter. That said, we're not taking any expedited shipments just to make the quarter whether the product comes in, in July or it comes in, in June doesn't really matter to us. Obviously, it matters to our customers, but the quarter is not relevant for them. So, we will offload as quickly as we can in order to ship, and some of that will happen in the third quarter with delays we've seen, particularly in the second quarter. How it has affected our competition is very difficult to say. I wouldn't say that we have gained a competitive advantage from what I've seen. I think everyone is facing similar problems. But you'd have to ask them really. I'm not sure. I think we've done exceptionally well, all things considered, and we hope we can keep that going also in the second half.
Operator: And your next question comes from Joseph Spak with RBC Capital. Your line is open.
Joseph Spak: Thank you. Maybe first, just a quick housekeeping and a bigger picture strategic question. On the raw materials and logistics, like you mentioned the five basis point headwind this quarter. Is that a good run rate for the back half, or does it actually step up because you lowered your sort of back half guidance by sort of mid-single-digits? And then Gina, I am paraphrasing here, but you sort of mentioned that you guys realized with the lower inventories even the dealers can be more profitable. So, I'm wondering like do you think that's just a 2021 dynamic, or are you changing your longer term strategy to run leaner than maybe you were thinking prior? And if it is the latter, how should investors think about what the right level is at dealers to hold you accountable for that?
Gina Goetter: Okay. Sure. Good questions. So, on the raw material from a freight standpoint, the run rate that we've seen within Q2, for the most part, holds in Q3 and Q4. On the raw material inflation, there is a bit of a step-up in the back half of the year, which, again, coincides with the pricing surcharge and the timing of when we were taking that. So, the both kind of the freight inflation for the back half as well as the step-up on raw materials that is incorporated into the back half guidance that we have given. So -- and remember, the back half guidance going down kind of that low single-digits, mid-single-digits as we have on slide 14. That was really driven by the EU tariffs and incorporating that into the GAAP guidance. So that, I think, answers the first question. On the second one and the long-term strategy with inventory, it has absolutely helped to build the desirability. We're seeing that play through in our pricing, but we also recognize we're not where we need to be from an inventory standpoint. So, we are absolutely learning a lot of how we can manage within these tighter inventory levels. But I think as we move throughout Q2 -- or I'm sorry, as we move through 2022, you'll see us try to build back to more optimal inventory levels.
Operator: And your next question comes from David MacGregor with Longbow Research. Your line is open.
David MacGregor: Yes, thanks for squeezing me in. I guess just a question on pricing and you talked about the raw materials and the logistics. But just thinking to some of the channel checks we did this quarter, there were a lot of bikes sold above MSRP. And I'm just wondering, given the raw material inflation, the logistics issues, all the things you discussed, do you have an opportunity to recover that inflation more rapidly in 2022 than what you're seeing here with the 2% surcharge in the second half?
Jochen Zeitz: Well, we are watching MSRP very carefully. And while some bikes have gone above MSRP overall, it's great to see that our dealers are not charging significantly above MSRP. There's been one particular product category where MSRP was higher, and we've adjusted the price for that product that is above and beyond the charge that we are taking. So I think we've taken the measures that we can. But overall, we are trading at or slightly above MSRP, but no significant sales are made -- significant amount above MSRP, which from a customer point of view, I think it's very important. We don't want anybody to take advantage of the situation and then the customer gets unhappy because they're being charged above MSRP. And I'm very grateful that our dealers are in most part, respecting that. So we haven't seen a significant sales happening above MSRP except in a couple of products where we've made some adjustments. That said, as I mentioned earlier, '22 model year, we are certainly looking at it overall, a combination of raw material price increases, shipping, everything that we need to bear in mind, tariffs potentially, those will all play into our – into consideration when we decide on our '22 model year pricing.
Operator: And your next question comes from Joe Altobello with Raymond James. Your line is open.
Joe Altobello: Great. Thank you for taking my question. Good morning. A couple of questions on the EU tariff situation. First, at a 31% rate, I assume you guys are not profitable in Europe. I want to confirm that? And secondly, what steps are you taking to mitigate that, or do you want to wait and see how negotiations play out before making any drastic changes to your business model in Europe? If it does go to 56%, how would you respond to that hypothetically?
Jochen Zeitz: Yes. Look, to adjust pricing to mitigate all of those 31% is unrealistic because you essentially price yourself out of the market. So that's not something we want to do. We are in Europe for the long haul. This is important for our dealers, for our customers as well. We think that the tariffs, at least we will have a clear answer before the end of the year. If they will continue or not, we certainly are relatively positive that something will happen because if you look at the overall steel and aluminum tariffs, they don't really make much sense considering that both prices are at a sky high level, and that just fuels inflation that, I don't think anybody wants to see in addition to the fact that Harley-Davidson has been singled out with tariffs, while we pay tariffs going in -- for bikes going into Europe, our European competitors don't pay tariffs or very low tariffs of 2% to 3% selling into the U.S. That's not sustainable. That's not right. It's simply unfair. And all of these things, we believe, need to go away and will go away eventually. But we think that we need to obviously take it into consideration for '22, but I hope to get a resolution before we had to finalize our pricing. That said, we will not be able to pass on oil price increases should the tariffs persist also going into '22. We are not commenting on regional profitability. I hope you understand. But we certainly see a lot of potential in Europe with or without tariffs.
Operator: And your next question comes from Billy Kovanis with Morgan Stanley. Your line is open. 
Billy Kovanis: Thank you, again. On LiveWire, you've recently taken some actions to carve out the brand, give it a new life. I've seen the new model, LiveWire One, more affordable price point, looks great. Just the question here is, like, what's the incremental spend required in EVs in terms of the development costs, CapEx, branding, R&D, hiring more people, et cetera? And have some of this already been spent, given the previous LiveWire launches? Thank you.
Jochen Zeitz: Yes, we're not breaking out our SG&A for LiveWire at this point. The business model, we obviously are working on now and we will be able to comment on that in future quarters. We have increased our spend on electric motorcycles overall, and we are standing up a separate division. We believe it's the right thing to do, and hiring the right talent in order to really win in electric is necessary. So we are increasing our efforts in that space. But we're not breaking out our SG&A. But what you've -- some of the incremental spend you've already seen in Q2, and that will continue in the next couple of quarters as well. But we'll give more color to that in future quarters.
Operator: And that concludes the Q&A session of today's call. I'll hand the call back to Shannon Burns.
Shannon Burns: All right. Thanks, everyone. We appreciate your interest in Harley-Davidson. And I hope you all have a fantastic day.
Operator: Thank you. That concludes today's conference. Thank you all for joining. You may now disconnect.